Ting Zhou: Ladies and gentlemen, welcome to TH International Limited Third Quarter 2020 Earnings Presentation. My name is Ting Zhou, Head of Investor Relations.
 TH International Limited announced its third quarter 2023 financial results. Earlier today a press release as well as an accompanying presentation, which contains operational and financial highlights are now available on the Company's IR website at ir.timschina.com.
 Today, you will hear from Mr. Yongchen Lu, our CEO & Director, and Mr. Albert Li, our CFO. You can also find the webcast of this presentation on our IR website.
 Before we get started, I'd like to remind you that our earnings presentation and investor materials contain forward-looking statements, which are subject to future events and uncertainties. Statements that are not historical facts, including, but not limited to, statements about the company's beliefs and expectations are forward-looking statements. Forward-looking statements involve inherent risks and uncertainties and our actual results may differ materially from these forward-looking statements. All forward-looking statements should be considered in conjunction with the cautionary statements in our earnings release and risk factors included in our filings with the SEC.
 This presentation also includes certain non-GAAP financial measures, which we believe can be helpful in evaluating our performance. However, those measures should not be considered substitutes for the comparable GAAP measures. The accompanying reconciliation information related to those non-GAAP and GAAP measures can be found in our earnings press release issued earlier today.
 With that said, I would now like to turn it over to Mr. Yongchen Lu, our CEO & Director. Please go ahead. 
Yongchen Lu: Thank you, Ting. In Q3 2023, we delivered 42.7% year-over-year top-line growth, and set a record quarterly revenue, adjusted store EBITDA, and adjusted store EBITDA margin. We want to express our sincere gratitude to our 16.9 million registered loyalty club members, the continuous support and patronage from our Timmies friends and community are always the source of power inspiring us to improve every day.
 We continue to pursue our goal of delivering absolute convenience for our guests, both building density in our existing cities for faster and easier service, and entering new cities to serve new guests. Some of the cities we entered in the third quarter include Yibin, Handan, and Lanzhou, et cetera. Continuing our strong track record, these new city openings were highly successful, we generated RMB 97,000, RMB 93,000, and RMB 92,000 in sales on the opening days of our first stores in Yibin, Handan and Lanzhou, respectively.
 Another key pillar of our strategy is continuous innovation, and this quarter was no exception. We launched 21 new beverages and 11 new food products in Q3 2023. Some hero products have emerged from this recent batch of innovations, including Buffalo Milk Latte, which has sold 528,000 cups during the quarter. From our rigorous new product development process and subsequent guest surveys, we know this product is popular for its smooth and light mouth feel, with high protein percentage.
 We've continued to develop our successful cold brew platform, and we have sold more than 4 million cups of cold brew during the quarter. A key driver of that growth was our Watermelon Cold Brew series, using 100% single origin watermelon juice, which has been popular with our guests. Our strategy of driving guest visits during off-peak coffee hours and using food as a key differentiator is bearing good results. The percentage of orders with food increased from 43.8% in Q3 2022 to 54.5% in Q3 2023.
 Touching again on hero products, we should mention our bagel platform. We've launched a combo Bagel and Brew Coffee campaign in Q3 with significant success. We have sold more than 7 million bagels so far during the course of the campaign. In September, we launched the smile bagel blueberry series, made up of real blueberry, cream cheese, and oatmeal, shaped to look like a smile, which generated significant buzz among our guests and on social media. Despite its launch towards the end of the quarter, we sold 236,000 units in Q3.
 The digital realm remains a crucial part of our business, as our e-commerce and retail sales grew by 123.3% from RMB 9 million in Q3 2022 to RMB 20.1 million in Q3 2023.
 We also continue driving growth through new retail channels like co-branded coffee products and at-home coffee products, such as Tims & Oatly's ready-to-drink coffee, packaged liquid coffee and liquid freeze-dried coffee products.
 Throughout the summer season, which falls in our Q3, we executed a series of fresh new products that are being supported by exciting marketing campaigns, and ample resources to capture increased market opportunities and gain attention from the younger population. More specifically, we are introducing a new beverage or food product at least every 2 to 3 weeks. These are all designed to attract new customers, while keeping our loyal customers coming back.
 Last but not least, let me touch briefly on Popeyes. In August, we brought this fantastic brand to China in a first-day launch, that set a record for the brand in the world, no other country in the world had as many first-day guests as we welcomed, over 1,750 of them. We continue to build on this strength, and since the grand opening of our first Popeyes restaurant in Shanghai on August 19, we have added another 6 stores at prime locations in Shanghai thus far, and are on track to open a total of 10 stores by year-end.
 Popeyes' innovative, locally relevant menu, appealing store design and environment, and warm guest experience have been highly recognized by many customers, as evidenced by over RMB 29,000 average daily sales year-to-date.
 At this time, I would like to turn it over to our CFO, Mr. Albert Li, to discuss our Q3 2023 financial performance in more detail. Albert? 
Dong Li: Thank you, Yongchen. As said earlier, total revenues grew by 42.7% year-over-year to a record RMB 436.4 million. The growth was primarily driven by an increase in the number of system-wide stores from 486 as of September 30, 2022, to 763 as of September 30, 2023.
 As we scale our business, we have demonstrated meaningful expansion in store profitability and leverage in general and administrative expenses during Q3 2023, with adjusted store EBITDA margin and adjusted general and administrative expenses as a percentage of total revenues improving by 2.2 percentage points and 1.3 percentage points year-over-year, respectively.
 Overall monthly average transacting customers were 3.4 million during Q3 2023, representing an increase of 75.3% from 1.9 million in the same quarter of 2022. Overall ticket count was 57.2% higher year-over-year, driven by the rise in both dine-in and delivery and takeaway orders.
 We continue to strengthen our digital capabilities to meet the growing demand for delivery and takeaway services. Digital orders as a percentage of total orders increased from 79.8% in Q3 2022 to 82.6% in Q3 2023, while our delivery and takeaway orders, including those from Meituan, Eleme and our own WeChat mini-program, increased by 62.7% in Q3 2023 from the same quarter of 2022. Concurrently, we have attracted more dine-in customers to enjoy our welcoming environment, as the number of dine-in customers increased by 52.0% from the same quarter of 2022.
 Our food and packaging costs as a percentage of revenues from company owned and operated stores increased by 1.9 percentage points from 33.3% in Q3 2022 to 35.2% in Q3 2023, since we offered higher discounts and more promotional activities to attract customers. Our rental and property management fee as a percentage of revenues from company owned and operated stores increased by 4.2 percentage points from 15.6% in Q3 2022 to 19.8% in Q3 2023. This is primarily due to the one-time rent concessions that we received during the third quarter of 2022.
 Payroll and employee benefits as a percentage of revenues from company owned and operated stores decreased by 2.5 percentage points from 22.8% in Q3 2022 to 20.3% in Q3 2023. This was primarily due to the continuous refinement of the staffing arrangement of our store operation personnel and optimization of our labor structure, including the hiring of more part-time employees with the deployment of our intelligent scheduling system.
 Delivery costs as a percentage of revenues from company owned and operated stores increased by 0.6 percentage points from 8.1% in the third quarter of 2022 to 8.7% in the same quarter of 2023.
 Other operating expenses as a percentage of revenues from company owned and operated stores, decreased by 3.9 percentage points from 13.1% in Q3 2022, to 9.1% in Q3 2023. This was due to our continuous efforts to optimize our cost structure and drive operating leverage through revenue growth and store network expansion.
 Marketing expense as a percentage of total revenues decreased by 0.2 percentage points from 8.1% in Q3 2022 to 7.9% in Q3 2023. Our adjusted general and administrative expenses as a percentage of total revenues decreased by 1.3 percentage points from 15.8% in Q3 2022 to 14.5% in Q3 2023. We expect our operating leverage to continue improving, and our general & administrative expenses as a percentage of total revenues to decline over time.
 Turning to liquidity, as of September 30, 2023, our total cash and cash equivalents and short-term investments were RMB 461.8 million, compared to RMB 611.5 million as of December 31st, 2022. The change was primarily attributable to the settlements with investors who entered into an Equity Support Agreement with us, and cash disbursements as a result of the rapid expansion of our business and store network nationwide, offset by an increase in bank borrowings.
 Managing our cost structure effectively is very important to us, we continue to implement various cost expenditure control and cost reduction measures, targeting to achieve a shorter payback period and further optimizing our store unit economic model.
 Looking forward, our top near-term priorities are, to continue rolling out our successful store formats into more white spaces, expanding franchised store network, delivering robust revenue growth, improving profitability at both the store and corporate-level, and generating positive operating cash flows.
 By leveraging Tims China's strong brand recognition along with our members' growing brand loyalty, and our ever-growing store network, continuous innovation in product R&D and marketing campaigns, and our disciplined execution, we truly believe in our capability to further optimize our cost structure, improve operational efficiency, and achieve profitable growth.
 We are sincerely thankful to our shareholders and investors for your continuous support, and we are committed to delivering long-term value to our shareholders. We look forward to updating you on our progress in the coming quarters and continuing to build a bright and successful future for Tims China. 
Ting Zhou: Thank you, Yongchen and Albert. That concludes our earnings presentation for today. We thank you for your participation and look forward to providing you with regular business and financial updates again next quarter.